Operator:
Kgaugelo Legoabe-Kgomari: Good morning, ladies and gentlemen and welcome to our Interim Results Presentation for the Six Months Ended 31 March 2025. My name is Kgaugelo Legoabe-Kgomari, and it gives me a great pleasure to welcome our executive team to take you through our results. First, led by Mr. Dominic Sewela, our Group CEO, he will take us through our group highlights. Ms. Nopasika Lila, our Group Financial Director, will as usual provide the financial summary. Andronicca Masemola, the CE of Equipment Southern Africa will take us through -- obviously, Equipment Southern Africa’s results, which fall under Industrial Equipment Pillar, and she will be followed by Mr. Emmy Leeka. Emmy will proceed to Industrial Services, and he'll take us through the results of our business VT; and Chris will conclude the divisional results by providing an update for Ingrain, which falls under the Consumer Industries pillar. To close off, Dominic will give us a strategy update, provide an outlook. And as usual, we'll take time to address whatever questions you may have, please feel free to post them online, and we will address those at the end. Without much further ado, ladies and gentlemen, I'd like to welcome our Group CEO, Mr. Dominic Sewela.
Dominic Sewela: Thank you, KG. Ladies and gentlemen, welcome to our interim results for 2025. It's always a pleasure and honor to present our financial results alongside my executive team. 2025, suddenly, this year has been very interesting in all this hallmark, when you look at the volatility, uncertainty, complexity and ambiguity. The world is changing faster than ever, in terms of economic shifts, tech breakthroughs, global politics and climate changes are reshaping our daily reality. In such a dynamic environment, business ourselves, especially those in cyclical industries need to look beyond short-term gains and prepare for long-term resilient strategies. Investing in ESG is a smart strategy for building resilient in the face of economic cycles, regulation and evolving expectation. On the environmental front, we have revisited our long-term climate strategy to focus on absolute reduction in Scope 1 and Scope 2, carbon emission instead of efficiency-based targets. We continue to invest in environmental infrastructure. In May this year, we proudly celebrated the launch of the upgraded Meyerton water effluent plant. Our solar installation in Kliprivier is in progress. And hopefully, before the end of this year, we will be able to launch that project. Investing in our employees and establishing a culture of zero harm is fundamental to our strategy. We are pleased to report that there are no work-related fatalities during this period. However, we did observe an increase in our lost time injuries and resulting frequency rates. Each incident has been thoroughly investigated and appropriate corrective actions have been implemented to prevent the recurrence. We are committed to cultivating a diverse and inclusive workforce where every individual feels a genuine sense of belonging. Equally, we adopt a comprehensive approach to employee well-being, and showing not only that our employee return home safely each day, but their overall health, dignity and fulfillment upheld throughout their professional journey at Barloworld. On the training and development, this remains one of our focus area. Over the last six months, we provided about 248 apprentices and intense with the work opportunities in Group. Since its launch, we have 84 Barloworld leaders graduate from the SEED program, equipping them with the skills and knowledge to drive our company forward. Our Independent Board serve as a custodian of our governance and strategy and continue to exercise independent oversight over the business. As I indicated in November last year, we were disappointed to learn of the potential export control breach in our division in VT. We filed a notification of self-disclosure to BIS on a voluntary basis. The investigation is ongoing as announced this morning that BIS has granted a further extension from the 2 of June to about this -- the 2 of September, and we'll keep you updated as we progress with that investigation. If we just change tack a little bit to look at some of the highlights, the year of 2025 commenced with a guided sense of optimism characterized by lower global headline inflation and prospects for pockets of global economic growth. When you look at the trading conditions within the period which we operate in, we have entered a cycle -- a lower cycle where commodity prices are subdued. Our South Africa mining clients remain conscious -- cautious rather about capital investment. They are preferring to rent equipment from us than to buy. On the construction sector side, there is still a recovery in progress in that area. But when you look at Zambia, particularly the copper mines in that area, they've been spared by favorable copper prices. And when you look at our business in Mongolia, the sector continued to grow, albeit at a slower pace. You're all well aware of our activity in BT that has been significantly reduced by sanctions and prolonged geopolitical environment and largely because the addressable market has shrunk in that area. At the current rate, we expect our operations in BT to trade toward breakeven levels and to remain self-sufficient. During this period, we focus on levers that we can control because some of the issues that I've spoken about geopolitical issues are way beyond our control. We primarily focus on reducing overall operating and financing costs through our fiscal discipline and agile treasury management. Excluding VT, group revenue declined marginally by 2.2% to ZAR16.8 billion. Our EBITDA margin expansion of about 0.6% when compared to prior period. Similarly, our operating margin expanded by about 0.3% to 8.8%. Group headline earnings per share declined by about 20.5% to ZAR4.23 per share. Normalized headline earnings per share, which excludes VT, amounted to about ZAR3.56 per share. I'm pleased that the Board has declared an interim dividend of about ZAR1.20 per share, which is in line with our dividend policy. Our balance sheet remains robust. In light of the uncertain times ahead, I'm confident that it is resilient enough to absorb future volatility. I'm going to hand over to Nopasika just to give us a financial overview.
Nopasika Lila: Thank you, Dominic, and thank you all for joining us this morning. Our results in this interim period demonstrates that our business is agile and can withstand turbulent times. As Dominic has already mentioned, performance in VT has declined following the prolonged geopolitical environment. So in order to understand our group's performance, it is important to isolate VT for a moment. The income statement, excluding VT, yielded impressive results considering the challenging trading environment. Revenue achieved was ZAR16.8 billion from ZAR17.2 billion in the prior year. EBITDA and operating profit increased by 3% and 1.3%, respectively. The EBITDA margin rose to 12.5%, and the operating profit margin improved to 8.8%, benefiting from prior year's restructuring and cost containment measures. Impairment in the current period relates mostly to our SMD business, which was successfully disposed in April this year. Our share of profits from joint ventures and associates declined due to ongoing challenges in the DRC and reduced trading activities in Bartrac. Andronicca will elaborate on this a little later. NMI's operating profit remained flat year-on-year. And you may recall that in the previous year, their results included profit from sale of property of ZAR14 million. Moving on now to the performance of VT. As expected, ongoing geopolitical situation continued to impact their results. The business, however, is still on track to breakeven and remains self-sufficient as we had previously guided. Transitioning to the group's view, including VT. As anticipated, resulted in reduction in revenue, EBITDA and operating profit. Net finance costs improved by 24%, benefiting from lower interest rates and the reduction in floor plans, which we replaced with less expensive debt. We estimate an ETR of 31.1% for the full year, which is in line with what we had reported in September at 33%. Group HEPS declined by 20.5% from ZAR5.32 per share to ZAR4.23 per share. On the segmental front, Equipment Southern Africa revenue declined by 6%, mainly due to the reduction in aftermarket revenue. Machine sales remained flat and rental revenue performance performed exceptionally well, increasing by 17.8% year-on-year. Mongolia continued its upward trajectory with strong revenue increase of 23%, benefiting from growth, both private -- sorry, prime product and aftermarket activity. Ingrain's revenue remained flat with volumes decreasing by 3%, while the average price increase was 2.8%. The divisional CEs will expand on the divisional performance a little later. As previously mentioned, the group's operating profit, excluding VT, improved by 0.3% to 8.8%. Mongolia's operation -- operating margin remained flat above -- it remained above the 20% mark. A slight reduction in Equipment Southern Africa margin, mainly as a result of the change in sales mix and with Ingrains margin improving by 1%. Our balance sheet remains strong with assets exceeding liabilities by ZAR17.5 billion. This represents a 5.2% increase compared to the September results. Total assets rose by 4.2% to ZAR42.9 billion. Two key contributors to the increase in the total assets are the rise in foreign currency translation reserves driven by the strong U.S. dollar against the rand and the increase in working capital, and here, in particular, the accounts receivable. Accounts payable, including floor plans, decreased to ZAR13.1 billion compared to September 2024. Free cash outflow of ZAR2.8 billion in this first half is in line with the working capital, and this is expected to reverse in the second half. We continue to invest in capital expenditure across the division, positioning the group for growth. The group remains compliant with all its debt covenants. ROIC and ROE are below our target rates of 14% and 15%, noting that we are still halfway through the year and contributing to the current shortfall is the increase in invested capital and reduced profitability during the reporting period. In declaring the dividend, the Board took into account levels of debt, required investment as well as the macroeconomic outlook. I'm delighted to share that the board declared an interim dividend of ZAR1.20 per share. Now with that, I'd like to hand over to Andronicca Masemola.
Andronicca Masemola: Thank you, Nopasika. Good morning, ladies and gentlemen. I'm pleased to announce the results for Barloworld Equipment Southern Africa. These results demonstrate the resilience of our business in the prevailing challenging economic conditions and were in line with our expectations. Revenue declined by 5.9% compared to prior year at ZAR11 billion. The appreciation of the rand against the dollar contributed to a 2.8% reduction in revenue, while the remaining balance was attributable to lower parts sales volumes. Total machine sales were flat compared to prior year, boosted by an increase of 19% in used sales, while rental revenue grew by 18%. EBITDA margin remained steady at 11.5%. Free cash flow closed at an outflow of ZAR2.4 billion as a result of an extended working capital cycle. Return on invested capital was above cost of capital at 14.4%. Moving on to new equipment sales by segment. New equipment sales were 2% lower at ZAR3.9 billion. Contribution by segment remained fairly the same compared to prior year with the exception of Energy & Transportation. This segment's contribution decreased from 12% to 10%, influenced by grid stability in South Africa, which decreased the demand for backup power. Shifting to machine sales by commodity. A diverse commodity mix continues to shield the business from sector specific dynamics. Following the successful seeding of equipment to zinc projects in the prior year, contribution from zinc decreased to 7%. Copper contribution almost doubled at 13% on the back of key projects in the Zambia copper belt. Fleet replacement in the coal sector increased the sales contribution to 51%. Now moving on to operating profit margin evolution and aftermarket contribution. Operating profit margin was firm at 8.5% despite aftermarket contribution diluting to 59% of sales. The impact of the aftermarket reduction was offset by continued cost management, resulting in operating expenses staying flat year-on-year despite inflationary pressures. The delta between operating profit before fair value adjustments and after fair value adjustments bridged the targeted 1% benchmark due to the high volatility of the rand-dollar exchange rate. Moving on to Bartrac JV. The JV delivered a positive share of profit of ZAR40 million, although, lower than the prior year. The business continues to face challenging trading conditions, increased competition and uncertainties in the regulatory environment. Our outlook for the remainder of the year is that trading will remain at the current pace. Our strategic imperatives remain consistent. We are leveraging on BBS to drive efficiencies and lower the cost to serve. As much as we are in a downturn, we are investing in expanding our digital capabilities to preempt aftermarket opportunities while improving equipment uptime for the benefit of our customers. The physical well-being of our brand champions is key, and we have intensified our safety training. We continue to offer a diverse range of solutions to respond to the equipment needs of our customers, be it new, used or rental equipment and engines. In closing, we are optimistic about the growth prospects in Zambia on the back of increased demand in copper. The geopolitical tensions have created uncertainty and therefore, delaying mining recovery in the region. We expect construction to grow, although at a slower pace. The transition to contract mining is reshaping the market landscape, resulting in extended working capital. The order book at ZAR3.6 billion was strong, increasing 25% year-on-year supported by orders from copper and coal projects as well as construction. Thank you. I will now hand over to Emmanuel Leeka.
Emmy Leeka: Thank you, Andronicca. Good morning. Mongolia continued to deliver stellar results and pleasing to see that for the last two years, there were no LTIs or lost time injuries. Revenue up 28% to ZAR132 million, driven by parts growth of 46% and prime product sales growth of 28%. Operating profit increased 21% with the operating margin reduced to 21% and slightly so compared to prior year at 22%. This was mainly impacted by the foreign exchange losses of ZAR1.3 million. EBITDA up 20% at ZAR30 million with a margin at 23% versus a prior period at 24.7%. Our returns on invested capital was holding up above our cost of capital at 58%, diluted by increased invested capital. The cash outflow of ZAR69.5 million was due to the impact of growth in the working capital requirements. Now turning to the revenue by segment and commodity mix. The mining sector remains the economic platform. Amid the decline in prime product sales contribution, we saw a very strong aftermarket contribution. Coal and copper are the key industries and account for almost 90% of exports. Coal contribution to our sales mix increased from 67% to 71% with copper contribution also increasing to 16%. The coal price has declined over the past year, but the copper price remains strong. Now with the slowdown in coal deliveries into China, new equipment is expected to ease compared to the first half deliveries. Now looking at the mining project in territory. The mining project pipeline remains strong. Now starting with the brownfield's proven reserves, there is a high concentration of mainly coal, gold and silver project. Some of the projects have been delivered, and hence, you will not see them in terms of the brownfields project. Looking at the near-term greenfield projects, it is pleasing to see a number of bankable projects all across strategic and critical minerals with significant reserves and resources. The mining companies are continuing with infill drilling to ascertain the proven reserves. Unfortunately, the amendments in mining laws and tax regulations are poised to significantly impact the mining project, particularly strategic mineral deposits. Ladies and gentlemen, our strategy remains the same with a focus on customer diversification, also on our energy and transportation and construction industries. While we are investing in technology and growth plans, we are mindful of the trough plan through cost discipline and protecting our margins. Similar to the Russian entity, we have implemented additional mitigating measures to ensure compliance around the export control. Profitable growth and social justice are core to our delivery agenda. The government also has announced the 14 mega projects, which some of them are still in the pre-feasibility phase with a focus on critical minerals and new city, road and rail infrastructure, dams and power plants. This will demand external investment and equipment supply. At the center or at the heart of our initiatives, we have successfully deployed the Barloworld business system, which focuses on daily improvements and our respect for our champions. On the outlook, Mongolia Rail GDP growth forecast for 2025 is sitting at about 6.2%. With the foreign exchange reserves remaining strong, the Bank of Mongolia raising the policy rate from 8% to 12% this year to control inflation. It will also keep the rate until the inflation falls below 8%. Unemployment is sitting at about 5% and with the revamp of the taxation in mining and resource sectors has caused investor uncertainty. Given that with all the headwinds, what is in our control is a focus on working capital and cost discipline. We will continue to deliver on our promises through operational excellence, our growth agenda and compliance. And looking at the prime product deliveries, activity will moderate against prior year. Our FenWick (ph) order is down at ZAR21 million and predominantly with coal sitting at a mix of about 77%. Now ladies and gentlemen, I would like to turn over to our business in Siberia. Our Russian entity has shown resilience. Revenue down 35% to ZAR69 million. This is due to continuous depletion of limited inventory and reduced addressable market. The EBITDA was down 68% to ZAR7 million with additional knock-on cost due to restructuring and compliance measures. VT generated cash of ZAR45 million for the period with a cash in country of ZAR144 million. Trading activity has subsided. We are currently left with about 50 pieces of small construction machines, unprecedented low parts inventory, which will be depleted in next coming few months. We are clear, resolute and hellbent on how we safeguard Barloworld investment. With a lower trading activity, it is imperative that we continue to optimize the structure, protecting our asset value and critical skills. Remaining self-sufficient in terms of funding requirement, as said by our group CEO, and we need to win the right way. On the outlook, the economy is slowing down. The GDP growth expected at 2%, down from the 4.3% in prior year due to fiscal tightening, fiscal consolidation and elevated inflation between 6% and 8% and very volatile, though it is expected that it will fall to 6.3% by the end of the year. On the labor market, unemployment at historic low of 2.3%, causing labor tightness. Investment growth halving compared to 2024 due to the high credit cost and prudence. High interest rates at 21% and weakening domestic demand. But again, what is in our control. VT will be our way to remain at breakeven levels while maintaining the cost discipline, protecting value and the well-being of our champions. Thank you. Now we'll hand over to Chris.
Chris Wierenga: Thank you, Emmy. Good morning, ladies and gentlemen. It's a privilege to be standing here presenting the Ingrain results for the six months to the end of March. I must say, I'm very pleased with the results that we've been able to achieve in the six months. I think really building on the turnaround initiatives that we implemented last year, I think, despite the face of the economy that we're seeing at the moment in the country. I think on the revenue side, we're very happy that we've seen some pricing increases coming through, and that has sort of offset some of the reduced volumes that we've seen in the six month period. The optimization benefits are yielding the results. We're seeing lower fixed costs in the business and improved operating efficiencies, which have translated to an improvement in EBITDA and consequently also showing operating profit up 14% in the current six month period. Very pleased with the strong cash flows we've generated through the half at ZAR85 million, and this is a vast improvement on the ZAR173 million that we invested at the same period last year. And this is despite increasing our fixed asset investment into the business to support the business and stability and growth. Really, I think the cash generation has been on the back of tightly controlled working capital management in the six month period. If we just look at the revenue, we've seen stable revenues. It's sort of really a tale about the price increases we've been able to put through and then lower volumes, which we've experienced both domestically and in the export markets. Headwinds that we face there are fairly low international starch and glucose prices, which have impeded our ability to export in the current environment, but have also impacted domestic volumes slightly as we're seeing imports coming into the country really impacting some of our smaller customers in terms of product offtake. But the high prices of ingrains during the period have really supported our co-products or agri products business during the six month period. Looking at our operations, I'm very pleased with the progress that we're continuing to make in all areas of the business, really supported by the Barloworld Business System and transformation that we're going through. We've seen zero LTIs during the six month period and a real credit to where we were last year at this time. Our ongoing capital investments, of which we spent ZAR148 million this year are starting to show improving efficiency gains in the business and also supporting throughput as well as supporting our license to operate in the business. I think as Dominic alluded to earlier, we've implemented an effluent treatment plant at Meyerton and also in the stages of commissioning a solar plant at Kliprivier and the 1.5 megawatt plant there should support our cost containment drive and some margin expansion as well. We've seen a strong improvement in operating efficiencies across all the plants. And I think our plant availability is starting to show some improvements in the business and very, very pleasing to note the good progress we're making at Belville Mill in the Western Cape, where we're seeing good growth in profitability and overall performance in that particular plant. I think as we're focusing in the short term on both the profitability and ensuring longer-term value creation, the focus areas that we're working on as a leadership team. First of all, it's about making sure that we have a safe working environment to ensure overall employee well-being. We're managing cash as can be seen, and we'll continue to focus on that together with the commodity price exposure that this business has. Our efforts to continue growing in the domestic as well as increasing participation in export sales remains a key imperative for the business. And we are certainly seeing the improvements coming through on the supply chain commitments that we've made, and that is also upping our plant reliability overall. Again, the focus on sustainable development in line with the group's overall objectives are progressing reasonably well during the six month period, and we'll continue to focus on these and supporting our efforts over the short to medium term. If we turn our attention to the outlook for the business, we do expect to see some volume recoveries coming through in the second half. We are taking some targeted actions to stimulate demand and therefore, increase overall contributions out of the domestic business, and we'll opportunistically take advantage of export opportunities as they arise. I think the benefits of the restructure are now starting to come through, and we'll continue to sustain these in the medium term as we look to getting to our return on capital targets for this business. Maize prices are starting to ease with the recent rains and good harvest that we've seen this year, and we do expect that to offer some reprieve to the margins in the business in the next 12 month period, having secured sufficient grain again for our business operations right up until June next year. We did discuss the environmental impact of the effluent treatment plant at Meyerton, but that really gives us the license to increase our participation in the modified starch market for this business, both domestically and in export markets, these are fairly low volume, but very high value products and the plant really allows us to increase capacity substantially out of the Meyerton Mill, positioning us well into the second half and beyond. And with that, I'd like to hand back to Dominic. Thank you.
Dominic Sewela: Thanks, Chris. Just to give you a sense of the slide that I've committed to present to yourselves. If you look at the implementation of the strategy, which was initiated in 2017, we continue to exhibit intended outcomes in terms of navigating the macro environment, given the fact that we operate in a very cyclical environment. And when we looked at the core business, which is mainly equipment and industrial services as well as Ingrain, we've basically gone through the fix and optimize part of the strategy and this strategy continued to show resilient results. When you look at the current mining cycle, exacerbated by the macro factors and uncertainty in global trade affecting mainly our Equipment Southern Africa delivery of the ROIC. There's a continued focus, particularly around cost containment. The austerity measures that we introduced last year in that business has ensured that the business continues to deliver the ROIC above the WACC, particularly given the fact that we're looking at the six months period. And I think I believe that in the second half, the business will demonstrate that it will be above the ROIC. Equipment Mongolia, on the other hand continues to deliver significant, ROIC above the hurdle rate. And, however, when you look at those numbers, you can expect that there will be a moderations to normalize levels in the near future. At Ingrain, optimization that has taken place in 2024 are delivering the desired results with an improvement in ROIC from the previous period. And as Chris just highlighted to enhance Ingrains, ROIC beyond hurdle rate, Chris and the management team, they are concentrating on maintaining and further increasing profitability through targeted initiative. Focus on volume growth. I think, we spoke about, modified start, demand planning is one area that I think is important. Price agility is very important. Albeit, we are market leading in starch in the only business, that price agility is very important and lastly cost control. These efforts obviously underpin the improvements will be underpinned by the operational efficiency of the plant. And I believe that we'll be on track in terms of this division to deliver ROIC more closer to 2021. And for the current period, the group ROIC, if you exclude VT, you're looking at about 12.2%, with VT, it's about 11.8%. I think I don't have to say what has happened to the VT environment. But when you look at the ROE, I think this slide shows that our ROE compared to the period between 2017 and 2021 has shown significant improvement, albeit this in the first half. This positive outcome highlights the portfolio effect that we've implemented through the strategy as well as the deployment of BBS because that ensure that there's continuous elimination of waste and embed more efficient processes. For the current period, when you look at the group ROE, excluding VT is about 11.2%, with VT is about 10.1%. And despite the recent drop in the ROE over the past six months, we remain confident that the portfolio will continue to deliver a stable shareholder return that exceeds its hurdle over the planned period. We remain steadfast in pulling on the strategic levers that are within our control. We do this through disciplined execution of our strategy, which is firmly grounded on the principle of Barloworld Business System. The future effects of tariffs on our business remain uncertain. And we are mapping out the medium- to long-term ramification of these tariffs. And we are in discussions with Caterpillar to see because they're closer to some of the discussion in the U.S. In closing, I think you all know that uncertainty is not new to us because we've operated in very volatile in terms of geopolitics market, and we've faced worst challenges in the past. So we have successfully navigated these issues in the past, and we've leveraged on our endowment in terms of that we have in our control. And I think Andronicca spoke about the geographical diversification in terms of the markets, commodities that we operate in. And we've got leading businesses that have got a very strong moat. We drive cultural transformation, as I said earlier on, BBS. But what underscore BBS is the respect for people and making sure on a daily basis, there's continuous small improvements that over time compound to get effects. And Nopasika spoke about the balance sheet, we think it remains resilient and well poised to deliver our results through a very uncertain 2025. And I think we were hoping that this year, at least that our Russian business will have some level of uncertainty, but we remain hopeful. But I think in terms of the outlook for equipment business, our view is that in the second half of next year, we are likely to see an upturn in that environment. And I think one of the key issues for us being lend in the previous downturn is that we don't want to cut too deep into that muscle, Andronicca, but make sure that we are well invested, particularly in terms of technical skills. And so that when it tightens, we are ready. I'm just going to pause here and take questions if there are any online. KG, are there questions or should we wait?
A - Kgaugelo Legoabe-Kgomari: Yes, there are. Thank you, Dom. I think firstly, before we go into questions, I’d appreciate [indiscernible] expression of congratulations to the Exco for the results. Well, let's start with Mark Tomas. He asks, what are the key reasons for substantial increase in working capital in Equipment Southern Africa. And he follows that question with what is the outlook?
Dominic Sewela: Yeah. Thanks, Mark for the question. I think we highlighted that when you look at some of our customers who had placed orders and the main did delay taking some of those equipment for various reasons because when you are in an uncertain environment, it creates a bit of a challenge. And I think that's mainly one of the major issue for us. But if you then look at the investment as well in terms of our rental business, I did say some customers are opting for renting equipment as opposed to buying those and that also led to that working capital increase. And I think it's about ZAR1 billion, Andronicca, if I'm correct. The increase in working capital in the area. How much? ZAR1.7 billion. Yeah. Okay. So I think that's the main issue, Mark.
Kgaugelo Legoabe-Kgomari: And in terms of outlook?
Dominic Sewela: I think as I said, I mean, in the second half, we are likely to begin to deliver on some of that inventory. I mean -- but the market remains subdued in terms of the mining cycle. So I said probably you're likely to see things turn in that mining segment probably in the second half of the calendar, not the financial year next year.
Kgaugelo Legoabe-Kgomari: Okay. And then, we're staying with Mark. He asks what will ensure breakeven in Russia with rapidly reducing sales on equipment and parts?
Dominic Sewela: Yeah. I think we did indicate that from the get-go, Mark, we said our plan was breakeven. And I think when you look at this current -- the results as presented here, they're pretty close to breakeven. And all the initiatives that Emmy is embarking on are really trying to make sure that we don't lose our people. But at the same time, you basically are selling parts which are not impacted by export control. And therefore, the discipline is making sure that you can able to sell that. But the other issue, obviously, it's difficult to sell labor in a smaller addressable market. Therefore, for me, I'm not saying we will always remain profitable. And hence, we're giving guidance that as soon as we dip below the level, we will actually be unfortunately having to -- for us to take out people. As we said, the business is self-sufficient in terms of funding, and there’s more cash in that business more than I would like given the fact that you can’t take the cash out. Thank you.
Kgaugelo Legoabe-Kgomari: Thank you. And this is the last question we've got online. It comes from Jose Rahube (ph) from Standard Bank. And the question is rather on E&T. So he says, you mentioned that E&T's contribution decreased from 12% to 10% in the first half of 2025. How do you anticipate this will change once the grid expansion project in South Africa is underway? And also, are there any notable updates regarding grid expansion in South Africa. Thanks, Jose.
Dominic Sewela: Andro?
Andronicca Masemola: Yeah. Thanks, Jose. So with the grid stabilization, what you are likely to see is the decrease in the demand for backup power. However, there are still opportunities in the large power solutions space where the demand is around integrated power solutions, and that's our main focus area right now. Now in terms of the update on the transmission project, we have started seeing inquiries from some of the contractors. So what ESKOM is working on right now to expand the transmission network is likely going to benefit our construction business because those transmission lines have to be put in the middle of Norway. And we are starting now to see contractors to ESKOM coming to us for inquiries on construction equipment. Thanks.
Dominic Sewela: Thanks, Andro.
Kgaugelo Legoabe-Kgomari: Okay. I'll close with a question, Dominic. It's from Roy Campbell from RMB Morgan Stanley. He says, please could you give some update to why an extension in the voluntary announcement was required. And that will be the final question for today. Thank you.
Dominic Sewela: Yeah. I've got Sandile, Head of Legal in the room. Sandile, would you just give -- want to give a high level?
Sandile Langa: Thank you, Dominic, and good morning, Roy. I think in summary, the extension is purely a function of the complexity of the investigation. I think you will recall in our initial announcement that the investigation is being conducted by an independent forensic firm who are working under the guidance of U.S. legal counsel. And it is them that requested the company to apply for the further extension on the basis of where we are and the progress of the investigation. I think the other point I'll just make is, Roy, you must appreciate that the U.S. authorities are not likely to have agreed to this further extension unless they were satisfied that the company was taking all the correct steps in investigation. Thank you, Dom.
Dominic Sewela: Thanks, Sandile. Ladies and gentlemen, thanks for your time, and please remain safe wherever you are. For those who are traveling, please do so safely. We hopefully will see some of the analysts in the next hour or so.
Kgaugelo Legoabe-Kgomari: So the analysts this afternoon and some investors tomorrow.
Dominic Sewela: Okay. Thank you very much, everybody. Thanks for your attendance. Appreciate it.